Operator: Greetings, and welcome to the Take-Two Second Quarter Fiscal Year 2018 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the conference over to your host, Mr. Hank Diamond. Thank you. Mr. Diamond, you may begin. 
Henry Diamond: Good afternoon. Welcome, and thank you for joining Take-Two's conference call to discuss its results for the second quarter of fiscal year 2018 ended September 30, 2017. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. 
 Before we begin, I'd like to note that, as previously announced, we have changed the name of our operational metric from net sales to net bookings. Our definition of net bookings is identical to our previous definition of net sales. I'd also like to remind everyone that the statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. 
 I'd also like to note that all numbers we will be discussing today are GAAP. And unless otherwise stated, all comparisons are year-over-year. Our press release and filings with the SEC may be obtained from our website at www.take2games.com. 
 And now I'll turn the call over to Strauss. 
Strauss Zelnick: Thanks, Hank. Good afternoon, and thank you for joining us today. I'm pleased to report that our positive momentum continued in the second quarter, enabling Take-Two to deliver another period of better-than-expected operating results. The extraordinary performance of our business is driven by growth from both Grand Theft Auto Online and Grand Theft Auto V, along with the successful launch of NBA 2K18. 
 Grand Theft Auto Online delivered another record quarter, exceeding our net bookings expectations, and remains the single largest contributor to recurrent consumer spending. 
 Rockstar Games has continued to sustain an increased engagement through the ongoing release of a rich array of free additional content, most recently the Smuggler's Run update and subsequent themed content drops, including the Motor Wars and Stockpile modes, Transform Races and multiple new vehicles. Rockstar Games will support Grand Theft Auto Online with additional new content going forward. 
 The second quarter marks the fourth anniversary of the initial launch of Grand Theft Auto V, and net bookings from the game grew during the period, confirming that Grand Theft Auto V remains the must-have title, especially as the installed base of current-generation consoles continues to expand. Grand Theft Auto V has now sold in more than 85 million units. And according to The NPD Group, the title has achieved 42 top 10 chart appearances during the 50 months since its release, the most by any single title in reported history. Grand Theft Auto V is now the all-time best-selling video game, both in revenues and units, based on combined U.S. digital and physical sales across PC, console and portable. 
 As a result of these titles' better-than-expected performance in the quarter and increased outlook for the remainder of the year, we now expect combined net bookings from Grand Theft Auto Online and Grand Theft Auto V to grow during fiscal 2018. 
 On September 15, Visual Concepts and 2K successfully launched NBA 2K18, cementing further the series' dominant position as the premier basketball simulation. NBA 2K18 received positive reviews from influential critics, including 91 out of 100 from Forbes, 9 out of 10 from Game Informer and 4.5 out of 5 from Digital Trends. 
 Visual Concepts was lauded for the title's exciting new features, including this year addition of Neighborhood, which, for the first time, enables gamers to explore and play in an immersive, wide world of NBA environment. To date, NBA 2K18 has sold in over 6 million units, and both sell-in and sell-through of the title have grown more than 20% over the prior year's release, including a significant increase in digitally delivered sales. In addition to versions for Xbox, PlayStation and PC, NBA 2K18 is our debut offering for the Nintendo Switch. 
 So far, we're very pleased with the title's performance on this new platform, and we anticipate continued strong demand across all platforms heading into the holiday season. Along with growth in game sales, our NBA 2K series continues to benefit from increasing engagement and recurrent consumer spending. To date, total users and average daily users of NBA 2K18 on current-generation platforms is up nearly 30% over last year's release and during the second quarter where current consumer spending on NBA 2K grew 57%, once again exceeding our expectations. 
 We believe that NBA 2K18 will become our most successful sports title ever, both in terms of units sold and recurrent consumer spending. I'd like to congratulate Visual Concepts for their unparalleled skill in delivering consistently the authenticity of the NBA and all of its pop culture influences to our passionate community of fans. 
 Our second quarter results also benefited from a number of other titles, including NBA 2K17, Social Point's mobile games and downloadable add-on content foreign sales of XCOM 2.
 We continue to drive increased engagement with our games. During the second quarter, net bookings from our current consumer spending, which are almost entirely digitally delivered, grew 84% to their highest level ever and accounted for 42% of total net bookings, in addition to virtual currency for Grand Theft Auto Online and NBA 2K where current consumer spending was enhanced by a variety of other offerings.
 In the free-to-play category, Social Point continued to outperform our expectations with combined net bookings from its 2 biggest games, Dragon City and Monster Legends, growing both sequentially and year-over-year in the second quarter. We view Social Point as an important long-term growth opportunity for Take-Two. 
 WWE SuperCard also continued to grow, with net bookings from our current consumer spending on the game up 40%. WWE SuperCard is 2K's highest grossing mobile game and has been downloaded more than 15 million times. And NBA 2K Online remains the #1 PC online sports game in China with over 36 million registered users. 
 In addition, net bookings from add-on content more than doubled, led by XCOM 2: War of the Chosen, the expansion pack for the 2016 award-winning strategy titles from Firaxis Games, along with offerings from Mafia III and Sid Meier's Civilization. 
 As a result of our stellar second quarter operating results and increased outlook for the balance of the year, we've raised our fiscal 2018 outlook for net bookings and net cash provided by operating activities. We now expect fiscal 2018 to be another year of net bookings growth as well as strong cash flow. 
 And looking ahead, fiscal 2019 promises to be one of our best years ever, led by the launch of the Rockstar Games' Red Dead Redemption 2 and a highly anticipated new title from one of 2K's biggest franchises. 
 Through the advent of new technologies, platforms and business models, our industry continues to evolve and grow, providing exciting new ways for our teams to create groundbreaking entertainment experience that captivate and engage audiences throughout the world. Take-Two is better positioned than ever creatively, operationally and financially to capitalize on our numerous opportunities, both in our core business and in emerging areas such as mobile and eSports, and to deliver value to customers and returns for shareholders over the long term. 
 I'll now turn the call over to Karl. 
Karl Slatoff: Thanks, Strauss. Today, I'll discuss our recent releases and then review our lineup for the remainder of this fiscal year. 
 On October 13, 2K successfully launched WWE 2K18, the latest installment in our popular simulation-based WWE series. Co-developed by Yuke's and Visual Concepts, WWE 2K18 received positive review scores, including an 84 out of 100 from GEO -- COGconnected and an 8.3 out of 10 from Forbes. Critics are praising the title for its brand-new graphics engine, the largest roster of playable superstars in the series' history and a host of game play additions and improvements. 
 According to Forbes, "WWE 2K18 is now the standard bearer in visual excellence in sports-themed video games." WWE 2K18 already is off to a solid start. And later this fall, 2K will release the title for Nintendo Switch, marking the first time in 5 years that a WWE game had been available on a Nintendo platform. 
 In keeping with our focus on driving engagement and recurrent consumer spending, WWE 2K18 is being supported with a series of postlaunch downloadable content, including a Season Pass. The worldwide popularity of WWE is as vibrant as ever, and we believe that there remains a substantial long-term opportunity to grow our WWE 2K series by leveraging further the development and marketing expertise of 2K and Visual Concepts. 
 On October 19, 2K and Firaxis Games released Sid Meier’s Civilization VI: Khemer & Indonesia Civilization scenario pack. We've introduced 2 new leaders representing civilizations from Southeast Asia. This content was made available automatically at no extra cost for purchases of the Civilization VI - Digital Deluxe edition.
 Turning to the balance of our lineup for fiscal year 2018. On November 14, Rockstar Games will release new versions of their blockbuster detective thriller, L.A. Noire, to the Nintendo Switch, PlayStation 4 and Xbox One. Following these 3 new console versions, in December comes L.A. Noire: The VR Case Files, featuring 7 select cases from the original game rebuilt specifically for a virtual reality experience on the HTC Vive system. L.A. Noire takes place in the seedy and violent underbelly of 1940s Los Angeles as decorated veteran and newly minted detective, Cole Phelps, investigates an escalating series of cases inspired by real-world crimes. Utilizing a unique type of facial capture technology called MotionScan, L.A. Noire brings unprecedented lies into character performances, creating brand-new game play out of the art of interrogation. Originally released in May 2011, L.A. Noire received critical acclaim and was the first video game ever to be featured as an official selection of the Tribeca Film Festival. 
 To date, the title has sold in over 7.5 million units. With the choice of spectacular virtual reality, stunning 4K or the freedom of portable play, these new enhanced versions of L.A. Noire are a perfect opportunity for players to experience this richly detailed world in an entirely new way. 
 During the fourth quarter, our independent development partner, Squad, will release the Kerbal Space Program: Making History Expansion for PC. Adding exciting new content, including the Mission Builder and History Pack, the expansion will enhance our recently acquired physics-based space simulation game. Mission Builder enables players to create and edit missions that can be shared with the game's vibrant online community. History Pack challenges players to relive historic missions from humankind's own space program, complete with the unique Kerbal Space Program twist. 
 The new Kerbal Space Program has a new long-term franchise that complements our portfolio of own intellectual property as we continue to capitalize on opportunities across the independent development landscape. 
 The growing popularity of eSports is an exciting trend in our industry. And both our team and NBA are hard at work on preparing for the May 2018 launch of NBA 2K League. Beginning in February, the league will introduce its online qualification system to identify the best NBA 2K players, which will be followed by a draft to fill each team's 5-player roster. League team members will play the game using newly created avatars, and therefore, playing ability will be determined strictly by scale. NBA 2K League players will live in their team's market during the season, which we believe will create deeper and stronger team bonds and dynamics. We are thrilled that the NBA 2K League is taking shape and look forward to expanding our presence in competitive gaming, which is a long-term potential to create deeper engagement with the player community and to be a meaningful driver of profits for our company. Social Point is also hard at work and has a number of exciting games planned for launch over the next 2 years. 
 Looking ahead, we have a robust development pipeline across our labels, including new releases from our popular series and groundbreaking original intellectual property. We remain committed to providing our audiences with the highest-quality entertainment, including innovative offerings designed to drive growth and engagement and recurrent consumer spending. Coupled with our many opportunities for expanding our business through emerging platforms, business models and geographies, there has never been a more exciting time for our company and industry. 
 I will now turn the call over to Lainie. 
Lainie Goldstein: Thanks, Karl. Good afternoon, everyone. Today, I'll discuss our second quarter results and then review our financial outlook for the third quarter and fiscal year 2018. Please note that additional details regarding our actual results and financial outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. 
 I'd also like to note that, as we announced last week, we've changed the name of operational metric from net sales to net booking. We have made this change to avoid confusion with the net sales captions used by some companies in their GAAP financial statements and to be consistent with operational metrics provided by our peers. The definition of net bookings is identical to our previous definition of net sales. 
 As mentioned by Strauss, we had an outstanding second quarter from an operating perspective, driven by the continued outperformance of Grand Theft Auto Online and Grand Theft Auto V as well as the stronger-than-expected launch of NBA 2K18. Total net bookings grew 20% to $577 million. Of this amount, 62% were digitally delivered net booking, which grew 52% to $356 million. Our digitally delivered net bookings were driven by record recurrent consumer spending, along with growth in full game downloads. 
 While the operating performance of our business exceeded our expectations, this outperformance was not fully reflected in our GAAP results for 3 reasons. First, our better-than-expected net bookings were driven by titles that we have are required to defer, and therefore, our GAAP revenues and profits will not fully benefit from these sales until future periods. Second, because of the better-than-expected performance of Grand Theft Auto V and Grand Theft Auto Online, we recorded higher-than-forecasted internal royalties, which are calculated using results that are adjusted to exclude the impact of deferrals and, unlike certain other costs of goods sold, are not deferred. And third, we reported higher stock-based compensation expense primarily due to the increase in our share price. 
 Turning to some details from our second quarter income statement. GAAP net revenue exceeded our outlook and grew by 6% to $444 million. Cost of goods sold increased by 20% to $247 million. Operating expenses increased by 24% to $208 million due primarily to the inclusion of Social Point as well as higher stock-based compensation, bonus and headcount expenses, which were partially offset by lower marketing expense. 
 Our GAAP results reflect a $12 million tax benefit, which was driven primarily by tax deductions related to stock compensation expense. These additional tax deductions are due to the increase in our stock price from the dates that stock was granted to the dates [ net of asset ]. This benefit had no effect on our management reporting tax rate, which is 22%. 
 We recorded GAAP net loss of $3 million or $0.03 per share versus net income of $36 million or $0.39 per share in the prior year period.
 Now I will review the highlights of our fiscal 2018 financial outlook, starting with the fiscal third quarter. We expect net bookings to range from $610 million to $660 million. The largest contributor to net bookings are expected to be Grand Theft Auto Online and Grand Theft Auto V, NBA 2K18 and WWE 2K18. We expect GAAP net revenue to range from $440 million to $490 million and cost of goods sold to range from $262 million to $291 million. Operating expenses are expected to range from $220 million to $230 million. At the midpoint, it represents a 16% increase over last year, driven by the inclusion of Social Point as well as higher R&D and stock compensation expense. We expect GAAP net loss to range from $29 million to $40 million or $0.25 to $0.35 per share. 
 Turning to our outlook for the full fiscal year. As a result of our better-than-expected second quarter operating results and the improved forecast for the remainder of the year, we are increasing our outlook for net bookings and net cash provided by operating activities. We now expect net bookings to range from $1.93 billion to $2.03 billion, up from our prior outlook of $1.65 billion to $1.75 billion and up from $1.9 billion last year. Net bookings are expected to increase in fiscal 2018, driven by growth from NBA 2K and Grand Theft Auto as well as inclusion of a full year net booking from Social Point, partially offset by a lighter release slate. We now expect net bookings from recurrent consumer spending to increase approximately 50%, and we expect digitally delivered net bookings to grow around 25%. 
 The largest contributor to net bookings are expected to be Grand Theft Auto Online, Grand Theft Auto V, NBA 2K and WWE 2K18. We expect the net bookings breakdown from our label to be roughly 50% 2K, 45% Rockstar Games and 5% Social Point and other. And we expect the geographic net bookings split to be about 60% United States and 40% international. 
 We now expect to generate approximately $300 million in net cash provided by operating activities, up from our prior outlook of $200 million. And we plan to deploy approximately $60 million for capital expenditures. 
 Turning to our income statement. We expect GAAP net revenues to range from $1.74 billion to $1.84 billion and cost of goods sold to range from $893 million to $944 million. Total operating expenses are expected to range in the $805 million to $825 million. At the midpoint, it represents a 22% increase over the prior year, driven by the inclusion of Social Point, higher R&D expense and higher stock-based compensation expense. 
 Although our operating performance is exceeding expectations, we are increasing our fiscal 2018 outlook for net bookings and net cash provided by operating activities. We are reducing our forecast for GAAP net income. This is due to 2 factors. First, because of the strong ongoing performance of Grand Theft Auto, we expect to record higher internal royalties, which, unlike certain other costs of goods sold, are not deferred. And second, we now expect higher stock-based compensation due primarily to the increase in our share price. As a result, we now expect GAAP net income to range from $63 million to $91 million or $0.55 to $0.80 per share. 
 In closing, we are very pleased with our operating results for the first half of fiscal 2018, which is poised to be another year of net bookings growth and strong cash flow for our organization. However, we believe that fiscal 2019 will be a record year for both net bookings and net cash provided by operating activities, which are expected to exceed $2.5 billion and $700 million, respectively. With industry-leading creative assets, commitment to operational excellence and strong financial foundation, Take-Two is well positioned to generate growth and margin expansion over the long term.
 Thank you. I will now turn the call back to Strauss. 
Strauss Zelnick: Thanks, Karl and Lainie. On behalf of our entire management team, I'd like to thank our colleagues for delivering another strong quarter for our organization. And to our shareholders, I want to express our appreciation for your continued support. 
 We'll now take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Justin Post with Merrill Lynch. 
Justin Post: I guess, 2. Strauss, one industry question. There were some concerns about NBA, and we hear with other games about maybe too much monetization opportunities for [ MTX ] taking away from the game. It clearly doesn't seem to be happy with NBA. But just give me your high-level thoughts on that. And then second, on Take-Two specifically. You haven't raised your outlook for '19. Clearly, all your digital trends are way above where you thought 6 months ago when you gave that guidance. How do you think about next year given the strength in digital this year? 
Strauss Zelnick: Thanks, Justin. Look, we take consumer feedback very, very seriously, indeed. And you're right, there has been some pushback about monetization in the industry. The good news is the title was reviewed extraordinarily well. People love it. And the other news is entertainment is a want-to-have business, not a must-have business. And people, though, ultimately with the usage -- and the usage on the title is up 30% in terms of average daily users. The title itself -- say unit sales were up 20% year-over-year. So people, clearly, are voting that they love NBA 2K18, and the reviews reflect that as well. That said, we are concerned about any perception, any negative feedback, and we're focused on it. We're taking it really seriously. And Lainie will talk about next year. 
Lainie Goldstein: Sure. For 2019, we are reiterating the guidance that we've given so far on that year. We continue to look at it. We said that we're going to exceed $2.5 billion and exceed $700 million in operating cash flow. So in terms of giving out more detailed guidance and updating that information, I think we would probably look to do that on our May call with our year-end earnings. 
Operator: Our next question comes from the line of Tim O'Shea of Jefferies. 
Timothy O'Shea: GTA Online continues to impress. It's another record-breaking quarter. And as you mentioned, it's the fourth anniversary of GTA V. On prior calls, we've heard a bunch of questions asking when GTA Online would start to tail off. But given the continued record-breaking quarters, I'm just curious, how many more years of GTA Online -- how many more years GTA Online might continue to thrive? And how does the upcoming launch of Red Dead influence your thinking here? And then just secondly, you're obviously taking up your full year EPS outlook substantially. I was just hoping you might help us understand what's behind that optimism. How much of this is coming from GTA Online and how much from NBA? 
Strauss Zelnick: Well, thank you. Look, GTA Online continues to delight consumers, and therefore, our results are also excellent. And Rockstar Games has said they will continue to support Grand Theft Auto Online with content going forward. And then undoubtedly, it's this ongoing robust content creation that continues to delight consumers. There's clearly a community of people who love Grand Theft Auto Online, and once again, we're having a record year. We can't say much more than that except that we're so extraordinarily pleased. And to look further into the future is impossible at this time. With regard to your question on Red Dead, though, I have a strong point of view, which is, look, entertainment competes with every activity and no activity. And to the extent that we are competitive, we compete with all of our own titles and everyone else's titles, too. So I don't think the launch of any new title specifically has a direct effect on an existing title. Any more than someone else launching a competitive title would affect, for example, how one of our titles is doing. If we have something great in the market and we continue to support great content, people will continue to show up. That's historically the case, and certainly that's our aim. So we think Red Dead stands alone. Naturally, we're incredibly excited. I think the whole market is and -- but it will stand alone and succeed on its own merits. 
Lainie Goldstein: For the full year, when we look at raising our guidance, we looked at how much we beat the second quarter by, and then we also look at the remainder of the year, and it's reflecting higher expectations for Grand Theft Auto Online, Grand Theft Auto V as well as NBA 2K18. 
Operator: Our next question comes from the line of Eric Handler of MKM Partners. 
Eric Handler: Two questions. First, wondered if you'd be willing to dig in on NBA 2K a little bit in terms of -- for last year's games, as you look back the last 12 months, what percentage of revenue was attributable to the full game sale, be it retail and full game downloads? And what percentage of revenue was related to micro transactions? And then secondly, wondered if you could talk a little bit about Social Point. It looks like internationally, you're -- I don't know if it's beta or what type of tests you're running for a game, League of Dragons. And at what point do you think of going global with that launch? And sort of how do you think about that progressing over the next year? 
Karl Slatoff: I got it. So okay, Eric, we'll start with Social Point. So yes, we did actually launch -- we had a soft launch of a title called League of Dragons. And it was a very limited soft launch. A select market, that's typically how you do these things before you take a global launch. I think you're familiar with that strategy. Based on what we have seen and the KPIs associated with the title, we decided that it didn't make sense to move forward. So that title will not be getting a worldwide release. That being said, the 2 games that Social Point has right now in the market, Monster Legends and Dragon City, are both performing above our expectations and are growing quarter-over-quarter and also year-over-year. So they're very positive for us. And as we said in our opening remarks, Social Point has a number of games that they're getting ready for release over the next couple of years. We're very excited about this opportunity. Oh, and in terms of the NBA 2K, the percentages of -- that you wanted to hear about, we'll give that kind of detail by title in terms of micro transactions, full game downloads, et cetera. 
Operator: Our next question comes from the line of Evan Wingren of Pacific Crest Securities. 
Evan Wingren: Following up on NBA a little bit. I was wondering if you could share what percentage of the unit sales that you did disclose came from digital this quarter. And then secondarily, you mentioned the growth in recurrent spending in NBA. And I just wondered if you could break apart whether you're seeing growth in the component -- in all components or if it's just from new players. 
Lainie Goldstein: Evan, for full game downloads on new console, we're seeing about 35%. We're not giving it specifically by title, but overall, that's what we're seeing in Q2 for the business. And that's what we would expect to see for the full year. 
Karl Slatoff: And in terms of the components on NBA, so like we said before, we are seeing growth in our users, the daily active users. And so that is up. And our unit growth is up in general. We haven't broken it down any more specifically than that. 
Operator: Our next question comes from the line of Chris Merwin of Goldman Sachs. 
Christopher Merwin: So just a couple of questions. First, for GT Online. Last quarter, you -- I think you guided to a moderation in the back half of the year. Of course, you posted another record quarter in the fiscal 2Q. So do you continue to expect to see a moderation for that title in the back half? Or do you expect to see growth? And then just secondly, Lainie, I know you just mentioned, I think 35% was the expectation for digital download for the year. I think last quarter, you talked about a 30% expectation. So can you just talk about what sort of changed that, I mean, and how, if at all, your -- you started to really try to incentivize the gamers to download more? 
Strauss Zelnick: Thanks, Chris. No, we do not expect moderation in Grand Theft Auto Online in the back half of the year. Looks like it's very strong. And as we said, it will be another record year, which is obviously very gratifying. And on the digital download side for full games, we are continuing to see growth in that area. Obviously, for PC titles, it's over 90%. And for non-PC titles, it's running around 35%, as Lainie said, across the board. 
Lainie Goldstein: And our catalog is also running at about 50%, and there is a big mix of our catalog business throughout the remainder of the year. 
Strauss Zelnick: So -- and it's a good thing for us. Naturally, we do make more dollars per unit sold digitally, and we have a higher percentage margin. That said, we are where the consumer is. And physical distribution still is the lion's share of our business. 
Operator: Our next question comes from the line of Mike Olson of Piper Jaffray. 
Michael Olson: As far as the NBA 2K League, do you have any plans for broadcast? Will it be primarily online? Or could there be also broadcast TV viewing opportunities? And will there be marketing for the league during traditional NBA games? Or how will you kind of tie those 2 together? 
Strauss Zelnick: So we haven't given that detail yet. There will be a media right associated with the NBA 2K League, and that will be announced in due time. Our crew over there, led by Brendan Donohue, is doing a phenomenal job. We -- Karl talked a little bit about what's coming in 2018. We're super-excited to have teams, have a draft of teams and to have a season with 17 teams participating. More details to come. But obviously, there will be media available and not much more detail to give out right now. 
Operator: Our next question comes from the line of Ray Stochel of Consumer Edge Research. 
Raymond Stochel: With the success of Grand Theft Auto Online, are you thinking about adding any talent to increase the cadence of GTA Online updates over the coming year or 2? 
Strauss Zelnick: We are always adding talent across the company. Our headcount grows, but our headcount grows only on the side of creating great games and great content. That's everywhere on our business. So we -- across the board, we are a growth enterprise, and we are always looking for best and brightest talent. Right now, we're really happy with the content that we're putting out across the board, and we have wonderful people who are responsible for doing that every day. 
Raymond Stochel: Got it. That's great. And also, a quick follow-up on talent. There has been some studio closures in the space, one public, and some layoffs at a private competitor today. Longer term, I guess, where are you saying talent availability? And do you see anything specific regarding domestic or within your current studios or whether that be in international new markets and new studios? 
Strauss Zelnick: We -- as I said, we're in a growth mode, and we're blessed we get to work with the best and the brightest around the world. It's no secret that hiring phenomenal engineering and artistic talent in the United States is exceedingly challenging. And so we're open-minded about where we may open studios going forward, but we will go where the talent is. This is a worldwide business, and we have a worldwide footprint. So we're -- as I said, we're in growth mode. And I suspect we will be broadening our physical presence to make sure that we are where the talent is. 
Operator: Our next question comes from the line of Mike Hickey of The Benchmark Company. 
Michael Hickey: I guess, it's always, I think, hard for you to add too much color to the Rockstar team. But it looks like the -- as it relates to GTA Online, the marketing efforts from the team there as it relates to incremental content coming in seems to have intensified. Curious if that's true. And how impactful do you think that's been for the ongoing success of that game? I have a quick follow-up. 
Strauss Zelnick: Sorry, Mike. I'm sorry, I missed the marketing part of that question. 
Michael Hickey: Yes. That was a question. Just curious, the -- it looks like the marketing of additional content for GTA Online has intensified just in terms of some of the trailers and maybe the energy put behind them. Curious if that was true and if that's at all impactful to the success of that game. 
Strauss Zelnick: Sorry, it took me -- sorry, I'm a little slow on the uptake today, Mike. The answer is that the marketing is related to the content drops. So as content drops come out as they're significant and meaningful, it's important that we let people know about them. I think the marketing is informative and entertaining, and certainly, we wouldn't do it if we didn't think it had a beneficial impact. But what drives consumption and delight is obviously the content itself. 
Michael Hickey: Yes. Fair enough. Good. I guess, under the theme of extending your player base, Rockstar is obviously preparing to launch L.A. Noire for the Switch. Curious how you think about the opportunity for other Rockstar content on that platform. And then also, thinking about China, I think you've obviously been seemingly more optimistic over time in terms of getting content into that region. Curious, your thoughts on the potential opportunity of Red Dead being a commercial opportunity in China, especially that pay-to-play model seems to be working with other games. 
Strauss Zelnick: Yes. So in terms of other titles for the Switch from Rockstar, Rockstar hasn't made any announcements yet. And of course, as you know, our labels make announcements about what's coming out. We don't tend to do that on these calls. But clearly, the installed base for Switch has grown rapidly, and it's potentially an exciting platform. We've already put out a title for basketball. So we are supportive of the platform corporately. And in terms of China, look, this is a massive market, as you know. It's also a market that is constrained in any number of ways. I'm hopeful that over time, those constraints will lessen. Intellectual property is a particularly challenging area in China, and we think there's great opportunity. We're thrilled to work with local partners. We're working with Tencent for a long time. They're a wonderful partner on NBA 2K Online, and we've had phenomenal results. So we're happy to work with local partners. I do think it is very important that we have reciprocity in markets, and our markets are wide open. And I think it's important that foreign markets become open. And America's second-biggest export category after aerospace is entertainment. We're not alone in these interests. I will say that we are ready when China is ready, and we think that providing the best quality entertainment on earth is always a benefit to a population. But of course, we feel that way. 
Operator: Our next question comes from the line of Ben Schachter of Macquarie Group. 
Benjamin Schachter: A few questions for you. So what do you think are really the key lessons from GTA that you expect to bring to other titles in the future? And should we expect you to continue to move down the price curve on the full game in order to drive more players to GTA Online? And separately, on NBA 2K. Should we expect any meaningful revenue from the online tryouts this year? And then finally, on mobile. Beyond Social Point, should we expect intellectual property from other Take-Two areas to come to mobile in any meaningful way in FY '19 and beyond? 
Strauss Zelnick: Thanks, Ben. Look, I think the key lesson from GTA online -- remember, we launched that title 4 years ago. So we certainly have learned a lot from what we knew 4 years ago. And one of the things that we learned is if we create a robust opportunity and a robust world in which people can play delightfully in a bigger and bigger way, that they will keep coming back and they will engage and if there's an opportunity to monetize that engagement. And we've announced that there will be an online component to Red Dead. And furthermore, we've said that we aim to have recurrent consumer spending opportunities for every title that we put out at this company. It may not always be an online model. It may not -- probably won't always be a virtual currency model. But there'd be some ability to engage on an ongoing basis with our titles after release across the board. And that's a sea change in our business. In the recurrent consumer spending, it's 42% of our net bookings in the quarter. It's been transformative for us. And the only reason that it's transformative for us is because it's transformative to our consumers. The business that, once upon a time, was a big, chunky opportunity to engage for tens of hours or perhaps 100 hours, has turned into ongoing engagement day after day, week after week. You fall in love with these titles, and they become part of your daily life. And that's immensely exciting, and it's the beginning of the maturation of interactive entertainment as a part of the audiovisual entertainment industry. I just saw a study. The American media day, average media day, is about 22 hours. Obviously, people are sleeping and eating. What it means is they're parallel processing, and they're consuming a lot of different kinds of media. But within that 22-hour day, only about 1.5 hours is interactive entertainment. There's a lot of room for growth. This is just the beginning. In terms of price curve on Grand Theft Auto, we really haven't talked about that, but this has been largely a full-priced business, which is super-exciting. In terms of revenues with regard to the NBA 2K League, we're going to let the league's management talk about that when the time comes. We have said that we have not modeled in or guided against revenues or profits coming from the NBA 2K League. That's not what this is about. This is about creating a brand-new business, a brand-new sport and continuing to grow our footprint in our basketball business and to interact with consumers in that way. Do I think there is a revenue and profit opportunity? Unquestionably. Are we prepared to say more about this at this time? We are not. And finally, on mobile and free-to-play. Yes, all selectively beyond Social Point, there will be opportunities with the rest of our enterprise. As you can see, our success has been driven when we're very selective. We've done very well with the NBA 2K app. We've done phenomenally well with WWE SuperCard. We think there will continue to be opportunities that are driven by existing core intellectual property. So we think we sort of have the one-two punch now, stand-alone, a new intellectual property brought to you by Social Point, intellectual property that is known and beloved, brought to you by the rest of our company. And that's super-exciting to us. 
Operator: Our next question comes from the line of Ryan Gee of Barclays. 
Ryan Gee: So I guess, taking a step back from the quarter for a second. Clearly, you're on a trajectory for much higher profitability, and you have been for quite some time. So what do you feel has been the biggest difference for Take-Two achieving and then maybe sustaining the margins of your peers, let's call it, 30% plus range? And along those lines, what do you see over the next 2 to 3 years changing for Take-Two specifically that could get you guys there and more importantly keep you guys in that 30% plus range? 
Strauss Zelnick: Right. So let's distinguish gross margins from operating margins. I assume you're referring to operating margins. On the gross margin side, we're highly competitive. And our gross margins continue to go up, and they're phenomenal. A couple of our competitors account slightly differently. And so it's not necessarily apples to apples. But on apples-to-apples basis, our gross margins are as high as, if not higher than anyone else's. On an operating level, you're absolutely right, our margin -- our operating margins are a bit lower than our 2 biggest competitors. And they need to grow, and it's a matter of scale. But obviously, you can't gain scale and sacrifice success. You have to have successful scale. We can't improve our margins with lost properties. So it's not as simple as just doing more; we have to do better and do more. And what we're focused on here entirely is do better, and that served us incredibly well. The good news is we're in a growth business. You've seen that with our net bookings this year. Lainie talked about our expectations for next year. We have to continue to grow. We have incredibly ambitious people here, both at the corporate level and emphatically at the label level. Everyone's pulling in the same direction. What will cause us to grow? It's continuing to build our collection of the best intellectual property, continuing to attract, retain and lead the best creative talent and continue to focus, first and foremost on, making the consumers happy and meeting consumers' needs. All good things will come from that path. 
Ryan Gee: Great. And then maybe just one more follow-up on an earlier question. So when you think about the -- kind of the long-lived success of GTA Online and kind of the high-margin recurring nature of that, has that changed Rockstar's view in any way in terms of when they want to release another product in the franchise? Or in other words, do they still believe a stand-alone release makes sense versus continuing to support GTA Online with extra content? 
Strauss Zelnick: We -- as you know, we don't speak for our labels. We're thrilled to have a setup here where our labels speak to consumers when they're ready. And I think all we can express here is enormous gratitude for the success of Grand Theft Auto Online and the belief in -- enormous belief from Rockstar's ongoing success. 
Operator: Our next question comes from the line of Scott Krasik of Buckingham Research Group. 
Scott Krasik: Two questions. I guess, first, can you just remind us what the last L.A. Noire did and if that's a good guide for what's in the guidance for this year? And then I know you don't talk about the GTA Online attach rates or how many people are playing it. But as you've added new users from GTA V, what has been the behavior of those? Do you -- have rate transfers at the same rate historically? And what's the opportunity for people maybe that you've lost over the last 3 or 4 years? 
Strauss Zelnick: All right. So sorry, maybe someone unsatisfying. L.A. Noire has sold in about 7.5 million units over the course of the franchise across the various SKUs, which is terrific. We haven't singled it out going forward from a guidance point of view. We don't typically do that with our titles. And on Grand Theft Auto Online, we don't have any -- we don't share information on specific data around users or attach rates. So we, at this point, pretty much shared the data that we're going to be sharing on Grand Theft Auto Online today. 
Scott Krasik: Well, less looking for data and more about behavior. Have people shifted as there are opportunities to reengage people who may have dropped off? 
Strauss Zelnick: There is unquestionably an opportunity to reengage people based on content drops. And when we drop new content, we see results in terms of engagement, and engagement typically does drive revenue. 
Operator: Our next question comes from the line of Doug Creutz of Cowen & Company. 
Douglas Creutz: As Grand Theft Auto Online has inflected higher, can you maybe talk about whether you've been able to do that using the same resource base as you sort of had working on it for the last few years? Or have you been allocating more resources to it to drive the growth? 
Strauss Zelnick: Rockstar is growing, 2K is growing, Social Point is growing to support the existing opportunities and the new opportunities. And I think we're having success across all of our label groups. We are definitely in growth mode. I'm probably not going to get more granular than that. 
Operator: There are no further questions over the audio portion of the conference. I'd now like to turn the conference back over to Take-Two management for closing remarks. 
Strauss Zelnick: Well, first of all, I'd just like to thank everyone for joining us today. I want to take a moment to thank our colleagues across the company who delivered these phenomenal results. And I want to thank our consumers who support us and are absolutely passionate about what we do. That drives us and excites us and makes us want to come to work every day. On behalf of the company, I'd like to wish all of you a happy and healthy holiday season and a great new year. 
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. Have a wonderful rest of your day.